Operator: Good morning and welcome everyone to loanDepot's Third Quarter Conference Call. All lines have been placed on mute to prevent any background noise. [Operator Instructions]. I would now like to turn the call over to Gerhard Erdelji, Senior Vice President, Investor Relations. Please go ahead.
Gerhard Erdelji: Good morning everyone, and thank you for joining our call. I'm Gerhard Erdelji, Investor Relations Officer here at loanDepot. Today, we will discuss loanDepot's third quarter results. We are excited to share our financial results and other highlights of the quarter with you. Before we begin, I would like to remind everyone that this conference call may include forward-looking statements regarding the company's operating and financial performance in future periods. All statements other than the statements of historical fact are statements that could be deemed forward-looking statements including, but not limited to guidance to our pull through with rate lock volume, origination volume and pull through a gain on sale margin. These statements are based on the company's current expectations and available information. Actual results for future periods may differ materially from these forward-looking statements due to risks or other factors that are described in the Risk Factors section of our filings with the SEC. A webcast and a transcript of this call will be posted on the company's Investor Relations website at investors.loandepot.com under the Events and Presentations tab. On today's call, we have loanDepot's Founder, Chairman and CEO, Anthony Hsieh; and our Chief Financial Officer, Patrick Flanagan to provide an overview of our quarter as well as our financial and operational results, outlook, and to answer your question. We are also joined by our Chief Capital Markets Officer, Jeff DerGurahian; our Chief Analytics Officer, John Lee; and our Chief Revenue Officer, Jeff Walsh to help address any questions you might have after our prepared remarks. And with that, I'll turn things over to Anthony to get us started. Anthony?
Anthony Hsieh: Thank you, Gerhard. I'm pleased to be with all of you on the call today. Thank you for joining us. I look forward to sharing my perspective in answering your questions this morning. The third quarter proved to be another strong milestone and market share growth. According to the most recent data from the NBA, our market share increased by 46% from 2.4% to 3.5% compared to the same quarter last year. To put that increase into perspective, while the third quarter of 2020 was our most profitable quarter ever our largest annual increase in market share came after that, demonstrating the resiliency and strength of our diversified channel strategy. When you combine that strategy with our growth growing brand and proprietary mello tech stack, loanDepot is the industry's only at-scale model of this type. And the hard work and enthusiasm of our talented employees delivered this growth. Our results demonstrated the agility and operational flexibility of our multi-channel strategy, which enables us to succeed in any market condition including challenging ones. When competitive pressures on one channel compressed profit margins we have the flexibility to focus on our other channels and still deliver on our strategic goals. When increasing interest rates reduce the demand for rate and term refinances, we pivoted to emphasize the origination of less interest rate sensitive loans such as purchase and cash out refinances. Combined, these two categories of loans increased 13% over the last quarter. The results of the third quarter are only a preview of what is to come in the future as we continue to hire the best, leverage or growing brand, develop and apply innovative technology solutions, drive down costs and add more products and services to help our customers successfully navigate one of the most important financial transactions of their lives. Our marketing engine and customer acquisition abilities are one of the best in the business. Notably in October, we wrapped up the successful first year of our multi-year partnership with Major League Baseball. By dominating media exposure, a one of the biggest stages in professional sports, the League Championship Series presented by loanDepot. Our brand reached millions of baseball fans during ALCS and NLCS and was further supported by the launch of a new national advertising campaign Portrait of a Homeowner that shares the benefits and unique feelings of owning a home through the eyes of real loanDepot customers. Our market share increase is a direct result of our growing investments and increasing marketing reach, as well as our technology that matches customers to the best loan officer for their needs across our multi-channel strategy. Our unique website visitors for the first nine months of 2021 are up over 16% compared to the same period in 2020. This was in the face of lower market volume. With a similar advertising spends in the second quarter, we achieved double-digit brand metric increases during the third quarter with consideration increasing by 15% and awareness increasing by 14% during the third quarter. LoanDepot’s brand continues to gain momentum. Looking ahead, the real estate services industry are moving towards consolidation of products and services for the homeowner and loanDepot is leading the way. We are uniquely positioned with a brand, technology and scale to invest in these additional products and services, particularly with the loanDepot Grand Slam. Having announced this bundle of home buying services early in the third quarter, we are already starting to achieve early success. Purchase lead funding, real estate agent introductions and real estate listings all increased substantially since the first quarter of this year. This growth while impressive was primarily accomplished before we publicly announced our Grand Slam package and was internally driven. We expect even better results in the coming quarters. Growth rates should accelerate as direct-to-consumer marketing from mellohome and Grand Slam gains traction. And we won't stop there. We're already planning to offer additional products and services for the benefit of our customers. Today loanDepot is more than a mortgage company. We're a digital commerce company committed to serving our customers throughout the homeownership journey with a full suite of products and services that meets our customer's needs along that journey. We are uniquely positioned to provide exceptional value and a reason to return to as long after an initial home financing transaction is complete. There is an energy and enthusiasm in loanDepot, we're growing and remaining very true to our public statements about our intentions, abilities, and the ways in which we can do and will deliver for our customers. While we are proud of our progress, much of our energy is derived from the fact that we are just getting started. We're always looking for new opportunities to grow and further accelerate our long-term strategy. I am excited about what the future holds for our customers, our team and ultimately our shareholders. With that, I'll turn things over to our CFO Pat Flanagan, who will walk you - take you through our financial results in greater detail. Pat?
Patrick Flanagan: Thanks, Anthony. And good morning, everyone. We're coming up on the six-month mark since our IPO in February, and I'm both excited and proud of what we've achieved during this short period of time as a public company, thanks to the continuous hard work and commitment of Team loanDepot. This quarter, we reported total revenue of $924 million, diluted earnings per share of $0.40, and adjusted diluted earnings per share $0.46 reflecting higher loan origination volumes and gain on sale margins as well as lower operating expenses. In the third quarter, loan origination volume was $32 billion, a decrease of 7% from the second quarter of 2021. This met the guidance that we issued last quarter of loan origination volume of between $30 billion and $36 billion. Our Retail and Partner strategies delivered $11 billion to purchase loan origination, and $21 billion of refinance loan originations during the period. Our retail channel accounted for 78% of our loan originations and our partner channel accounted for 22% of our loan originations. The consistent contributions across those channels signifies a strong customer and lower mortgage broker relationships we've built over time as well as the effectiveness of our innovative mello technology platform to underwrite, process and fund mortgage loans originated both in-house and with our partners while delivering an exceptional customer experience. Our rate lock volume of $43.7 billion for the third quarter resulted in total and quarterly total revenue of $924 million, which represented an increase of 18% from the second quarter. Rate lock volume came in at the low end of the guidance we issued last quarter of $44 billion to $54 billion. The increase in revenues is a result of the higher rate lock volume and gain on sale margins. Our gain on sale margin for the third quarter came in at 2.84% of loan origination volume. This also met our guidance for gain on sale margin that we issued last quarter of between 245 and 295 basis points. Going forward, we will be expressing gain on sale margin as a percentage of both of pull through weighted rate lock volume since this most closely aligns with the origination revenue that we recognize in each period. For competitive purposes, we've disclosed both gross and pull through weighted rate lock volume in our earnings release this quarter. Our total expenses for the third quarter of 2021 decreased by 1% from the second quarter of 2021, primarily due to lower variable expenses on lower loan origination volume offset somewhat by higher marketing expenses as we continue to invest in our brand. During the second quarter, there were lawsuits filed against the company. These were comprised primarily of shareholder suits motivated by the recent decline in our share price. There was also a suit filed by a former executive alleging loan underwriting improprieties and employment law claims. Given these are an active litigation, my comments must remain somewhat limited. However, the loanDepot is committed to offering at all times according to ethical, responsible and compliant business practices grounded in values of inclusivity, and respect for our team members, customers and all of our stakeholders. Our procedures require all loans to be closed with proper documentation and subject to appropriate quality control. We intend to vigorously defend ourselves and are confident that we will prevail. These lawsuits and their claims have not resulted in any material adverse impacts from our warehouse lenders to agencies or investors. We have not at this time recorded a liability related to these lawsuits. Our growing servicing portfolio perfectly complements our origination strategy and ensures we can serve our customers through their entire mortgage journey. The unpaid principal balance of our servicing portfolio grew to a record level of $145.3 billion as of September 30, 2021, compared to $138.8 billion in the second quarter. This growth was inclusive of a sale of $13.5 billion of unpaid principal balance completed during the quarter. Servicing fee income increased from $48 million in the third quarter of 2020 to $102 million in the third quarter of this year. While relatively low market interest rates continue to result in faster prepayment rates, we were able to retain many of these customers as preliminary organic refinance consumer direct recapture rate for the 12 months ended September 30 2021 increased to 71% as compared to 61% for the 12 months ended September 30 2020 highlighting the strength of our deepening customer relationships. We're extremely proud of our progress because this growth was against the backdrop of growing our servicing portfolio in-house and relying relatively less on third-party sub-servicing partners. We have invested in our in-house servicing capabilities by growing the portfolio and bringing more servicing in-house, we leverage the infrastructure and create the scale to increase the earnings contribution from this recurring counter cyclical business line. We reported adjusted EBITDA of $238.3 million and net income of $154.3 million as compared to $109.3 million and $26.3 million for the second quarter of 2021. The quarter-over-quarter increase was primarily driven by the increase in net income, as well as a smaller net loss in the fair value of servicing rights. As we look ahead to the fourth quarter and building on the growth strategies that Anthony laid out and assuming no material changes in interest rates, and competitive landscape, the company expects pull through weighted rate lock volume of between $18 billion and $28 billion, reflecting the recent increase in interest rates and seasonal slowdown in demand. We also expect loan origination volume between $26 billion and $31 billion and we expect fourth quarter pull through weighted gain on sale margins of between 210 and 260 basis points. Now let me turn it back over to Anthony for some closing comments.
Anthony Hsieh: Thank you, Pat. I just wanted to take a moment and say that I'm proud of this team and our results this quarter. I'm also proud of the spirit of our company employees and those that we choose to partner with. We're a company that believes in supporting the communities in which we do business and the people that make our success possible. As proud as I'm of all loanDepot has accomplished, we remain focused on our long-term strategy and vision to become the most trusted homeowner fulfillment company in the world. Using our industry leading position to drive the type of value and ease that today's customers expect in demand. Before we turn to questions, I want to re-emphasize what many of you have heard me talk about how many times before. We're still very early in this mortgage market cycle that started after the Great Recession of 2008. The productive capacity in the industry at that time was wiped out, with most of the top lenders either going out of business are being severely disrupted. Since we began business in 2010, customer expectations and service level demand have changed significantly. The application of technology have accelerated every aspect of our business from customer acquisition, to loan processing, underwriting and closing and to servicing. While we're very proud of our market share growing to 3.5%, loanDepot with its digital assets nationally recognized brand, cutting edge technology tools, relentless sales culture and diversified channel strategy is in a leadership position to aggressively attack the remaining 96.5% of the $12 trillion mortgage market. And as we expand and mature our adjacent real estate related to service business, we can attack the broader $34 trillion residential real estate market, leading the consolidation of the market that is likely to occur. loanDepot represents an incredible value and we're confident we will continue to accelerate our growth, increase our market share, serve our customers, employees, shareholders and communities while outperforming in the long-term. We remain focused on our strategy of serving our customers through every stage of their homeownership journey. With that, we're ready to turn it back to the operator for Q&A. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Doug Harter, Credit Suisse. Your line is open.
Doug Harter: Thanks, the relative marketing spending was higher this quarter. Just hoping you could talk about how you think about kind of balancing continuing to build out the brand, making those marketing investments versus maybe pulling back given that the size of the market is a little bit smaller today?
John Lee: Good morning, this is John Lee. I'll take that question. So we're adapting to a changing demand profile in the refinance market obviously. And our data driven multi-channel marketing strategy is working to drive higher lead volume and dive deeper into the refinance market. During the quarter, we increased marketing spend 14%, as you mentioned and grew at least 33%, which allowed us to expand market share to 3.5%. Our improving brand recognition and consideration is driving higher ad awareness and larger growth in our organic lead channel, which is up 41% year-over-year, and -- website traffic is also up 16% during the same period. Our overall lead generation is up 118% year-over-year, and our purchase lead activity is up 29% quarter-over-quarter and 145% year-over-year. We believe this is a result of the incredible increase in brand awareness and consideration that's been driven by our increase in brand spend over the last 12 months. In terms of continued growth, we have -- obviously, we're going to continue to expand into our multi-channel marketing strategy. We have very robust TV and digital assets. And we are continuing to grow social media and website advertising. Our partnerships with the MLB and Marlins stadium has also increased our consideration and awareness in the market. For example, for our MLB we drove 595 million impressions since the launch of that partnership. And relating to expansion of partnerships. Yes, we are looking to grow. Our growth and brand awareness is driving more interest in partnerships across many verticals. And we have an internal partnership team focused on growing relationships in the future.
Doug Harter: Great. Just one follow-up. I guess is there any kind of seasonality to the marketing expense given the relationship with Major League Baseball and kind of the league championship series?
John Lee: That's a great question. There is and as we watch lead demand day-over-day, quarter-over-quarter we'll adjust both our brand spend and our performance marketing spend, which is focused on lead generation to match that quarterly change in demand profile.
Anthony Hsieh: And, Doug, it's Anthony Hsieh. I just want to chime in with my remarks on building a brand. Just want to remind everyone, arguably, we're the only other non-bank brands in the market today. Brand matters. And as our number one competitor, who is I believe 25 years our senior, and has I believe 4x to 5x our current annual marketing spend that there is just a nice draft process that, in the terms of auto racing, we're just being pulled by our number one competitor as far as industry consideration. And the fact that you can use your device to get a mortgage in today's world. So building our brand, investing our brand, and looking at the marketing in terms of direct response, both digitally and offline is something that we track in best-in-class at. So tracking, conversion, cost of customer acquisition on a per funded basis as well as building long-term brand is sort of a balance that this company does. And we will continue to balance those two as we move forward and capture additional market share and to build a national brand.
Doug Harter: Great, thank you.
Anthony Hsieh: You're welcome.
Operator: Your next question comes from the line of Brock Vandervliet with UBS. Your line is open.
Brock Vandervliet: Good morning. Thanks very much for the question. Just stepping back on the gain on sale. Obviously last quarter, it felt like the world was coming to an end. I want to ask the trade question, what inning are we in? But can you kind of put in context where we are in terms of gain on sale? And yes, I've got a follow-up from that?
Patrick Flanagan: Sure. Brock, thanks. It's Pat. Good question. So if the dynamics in gain on sale continue to evolve and be volatile based on demand in the market, and where rates are and also seasonally. Our -- so we think there's strength in our diversified origination channels, because there's more. As the market changes, we can emphasize one channel over the other, which reduces the volatility. So currently based on seasonality and which has seasonality that means it comes every year and the most recent rise in rates we're seeing gain on sale margins, tending lower than where they were for the third quarter and not altogether unexpected for the fourth quarter. As far as what inning we're in, it's hard to tell we're pretty confident in the guidance we've given of GOS margins on pull-through weighted lock adjustment [base] (ph) of between 210 and 260 basis points for Q4.
Brock Vandervliet: Okay, and one thing I know investors puzzle about a lot is just the interconnection between different channels of origination. And that gain on sale profile clearly seems like partner you're seeing more that that's consistent, more pressure less than retail. How I guess interconnected have you found the varying channels so far in the cycle?
Anthony Hsieh: Hey, Brock, it's Anthony Hsieh. Great question. And perhaps Pat can answer it after my comments on a more of the mechanical answer. But keep in mind that in an adjusting market, various channels will have different reactions to the pressure. But ultimately, as the pressure continues, it's all going to equalize between different channels. I mean, the way that GOS is determined it's a herd mentality. We are top three retail lender in the country bank and non-bank and we have 3.5% market share. So the market as that my comments it's still very early, since the 2008 financial crisis. So capacity is still spread out massively through the industry. So GOS is a herd mentality. Now, some of the larger players can be front of the herd by placing more pressure, but the market follows the herd. And ultimately, the pressure is a good thing for operating companies that have a unique advantage. So as the innings go on, or the games go on, the seasons go on, the pressure is bad for earnings, but is great for market share and for market positioning. So this is where it's critically important for this organization to focus on the opportunities. Last year because of growing market and volume, we had a record breaking earnings year topped by Q3, where we have record earnings for Q3. Now we have record market share for Q3 this year. So we will win either direction. And as the market continues to change, because of this herd mentality, what we can control is our cost structure, which we are leading the industry in. So far as the exact sort of [the coupling] (ph) or how the different channels is moving right now, Pat, if you have comments to that that would be helpful for Brock.
Patrick Flanagan: Sure. I think, particularly in the partner channel with your comment. It's in -- there's wide variation in GOS margin in our two kind of sub-components of partnership channel. So our builder joint venture and bank referral and gain on sale margins actually increased quarter-over-quarter and we saw continued pricing pressure in the wholesale channel through mortgage brokers where that side of the business actually decreased quarter-over-quarter. And we see the same thing happening in the retail side. There's been more resiliency in gain on sale margins in our end market channel. They're more relationship driven and less price competitive or sensitive customers and increasing amount of competitiveness in the direct-to-consumer channel.
Brock Vandervliet: Got it. Okay. Thank you very much for the color.
Anthony Hsieh: Welcome.
Operator: Your next question comes from the line of Kevin Barker with Piper Sandler. Your line is open.
Kevin Barker: Good morning. Thanks for taking my questions. I want to follow-up on your operating expenses, maybe some of the comments around marketing. We noticed that your operating expenses come down slightly quarter-over-quarter and particular personnel expense, which drops over $20 million. Are you expecting that those expenses to continue to decline with production volume declining in the fourth quarter? And then also, do you expect operating expenses as a percentage originations to continue to decline as we go into 2022?
Patrick Flanagan: Kevin, yes, this is Pat. Another good question. So the reductions that you saw quarter-over-quarter were based in large part due to initiatives that we began in the second quarter that focused around normalization of our workforce redesign of compensation expenses and reduction of overtime. And they continue into the fourth quarter. In addition to that, there are additional cost savings initiatives that have just recently begun that we would continue into the fourth quarter and into 2022. And I think of note, our actual savings exceeded our planned amount by 21% in the quarter. So we would expect those continue decline going into next year. One part that's a little bit confusing. As we continue to grow and build our servicing and move servicing in house, we actually incur more personnel expense as we hire more folks in our in-house servicing platform that would have come through in subservicing expense in previous quarters. So the dynamic of that's going to change slightly as we continue that migration.
Kevin Barker: So would you expect your pre-tax margins to see quite a bit of seasonality as we go through the next couple of quarters, just given seasonally lower volumes, combined with a buildup of servicing personnel?
Anthony Hsieh: Yes, I do think that's correct. And I would point you back to the areas of guidance that we gave with lock volume $18 billion to $28 billion and funded volume between 26 and 31. And then our gross margins between 210 and 260 on a lock basis, and assume continued - a little bit of a continued improvement we expect in expense margin.
Kevin Barker: So would the expenses decline at a similar rate or lesser rate than we saw - that we will see in revenue just given your guidance?
Anthony Hsieh: We haven't provided that level of expense guidance going forward.
Kevin Barker: Okay, and then, can you give us just any recent progress that you've made with Grand Slam or any statistics on how that's been out of it - how the rollouts going and any revenue generated from it?
Jeff Walsh: Yes, this is Jeff Walsh, I can talk about that a little bit. We have strong top of the funnel momentum with mellohome as digital mortgage purchase leads are up. And we believe the consolidation of services and service offerings is going to continue to accelerate. Now a home allows us to not only provide the mortgage financing, but also participate in the real estate service and real estate fee. And we're also able to offer other services such as title, escrow, closing insurance, and soon to be other services related to the home to homeownership. All of this is really designed to create a better less stressful buying experience especially for first time homeowners. So Anthony had mentioned that the overall funding from digital purchases was up to $704 million from $416 million in Q1. Also introductions to real estate agents was significantly up from Q1, where it was $596 million to $142 million, up now to Q3, whereas where it's 1,305 for $412 million in real estate introductions. Also on the sales side, opportunities were up going from $7 million in listings in Q1 to $81 million for the same period. So kind of the overall momentum and all of the metrics that kind of drive, mellohome and Grand Slam all continue to be positive heading in to the fourth quarter as well.
Kevin Barker: Thanks for taking my question.
Operator: Your next question comes from the line of Bob Napoli with William Blair. Your line is open.
Bob Napoli: Hi, good morning. Thank you for the question. So, Anthony, you don't break out R&D expense separately. But can you talk about the level of R&D spend where - what are the most important areas of investment? And what -- maybe what kind of a product roadmap you have?
Anthony Hsieh: Hi, Bob, it's constantly boiling the ocean, right, far as the digital journey. Just a few months ago, we made a significant hire. And George Brady, I'm happy to report that George has caught great momentum here and has given me a digital roadmap that we are currently evaluating. There is lots of things to do, because this industry is going to get a lot more complicated, as the desires of a customer is no longer about mortgage, it's about the entire homeownership journey. So it's more than just the digital process and the innovation, it's about building out additional products and services in all the adjacencies. A customer wants to be able to buy a home and move in. And the way that this country is set up over the course of last century is to force the customer to make multiple buying decisions on all of the appropriate decisions and different companies that must be involved. So not answering your question directly. But from a very high level perspective, we are absolutely going to invest and invest heavily and almost double down on our digital and our tools going this is a less than 12-year old company. We have risen to the top three retail lender in the country. And we got here for making smart long-term decisions. GOS is really important. And we will absolutely leverage and maximize GOS in leveraging our brand to lower customer acquisition costs by market positioning and adding adjacent products and services to our core customers is sort of our long-term plan. But overall, the digital footprint of this organization remains very, very strong and George Brady will be leading that charge.
Patrick Flanagan: Hi, Bob. This is Pat, and give you just a little context of numbers as well. So year-to-date, we've capitalized $21.2 million for development spend of -- to develop and maintain mello technology stack? So I'll give you a decent perspective on the size of that investment.
Bob Napoli: Thank you. And just a follow up question given with the market outlook I guess over the next year. What are your thoughts around to gain market share gains? And how focused are you on increasing that market share over the next year if you would?
Anthony Hsieh: Bob, I typically don't call out market share gains. Market share gain is a byproduct of competitive advantages that the company has built. So as we get into Q4 and Q1 that are typically thinner quarters for our industry, we need to be very balanced between expense management and preserving our ability to scale, should the market surprises next year with great volumes with NDA or Fannie and Freddie is forecasting now. I will say been in this business as long as I have, I don't think those three institutions have been aggressive on their future year volume predictions. So I think we need to be sensitive to that. We also need to remember that we're 30-year fixed interest rates am today and the outstanding $12 trillion in outstanding mortgages even at 10% to 15% turn on refinance is still $1.5 trillion to $2 trillion refinance market. And there's plenty of equity and cash out. So we believe that next year is going to be a bit stronger. And we certainly want to be in the position to capture that.
Bob Napoli: Thank you. Appreciate it.
Operator: Your next question comes from the line of Trevor Cranston with JMP securities. Your line is open.
Trevor Cranston: All right, thanks. A couple questions on the servicing side. First, can you give us an update in terms of where you are in terms of transitioning the portfolio in-house and away from third party sub-servicers? And then the second question that you noted that you sold the $14 billion of MSRs during the third quarter, I was just curious if you could comment on what was driving that. You'd be thinking of any additional book sales or hidden to report for versus just retaining anything? Thanks.
Jeff DerGurahian: Hi, Trevor. This is Jeff DerGurahian, I can tell that for you. In terms of the servicing transition in-house, everything is still going as planned. Right now we are servicing all new GSE originations are in our platform, and we expect to be fully transitioned office subservices by the middle of 2022. And then in terms of the sale in Q3, we only continue to look for ways to optimize the servicing asset on our balance sheets, or for cross sells, and other ancillary income opportunities. And so we'll continue to do that going forward to match the size of the assets, the balance sheet as well as again, trying to maximize every capture opportunities and other cross sell.
Trevor Cranston: Okay, that makes sense. Thank you.
Jeff DerGurahian: Welcome.
Operator: Your next question comes from the line of John Davis with Raymond James. Your line is open.
John Davis: Hi, good morning, guys. Anthony, just wanted to get your thoughts on conforming loan limits likely going to go up about 20% here? And what do you think the impact is on the refi market maybe from loanDepot specifically, but also just the broader market, given how much home prices have appreciated? And do you guys started raising your bets or any steps and preparing for that potential refi boom?
Anthony Hsieh: John, we certainly hope there is going to be a refi boom. The increased loan limits will no doubt broaden the audience and broaden the available mortgages out there today in terms of cash out and to a lesser extent rate and term. I think more importantly, what we need to understand is, when interest rates starts to move, it is a balancing between supply and demand. The mortgage industry is still heavily populated with loss of costs on the labor side. And until that labor gets equalized to the current demand of mortgage applications, you have pressure on GOS. So this usually will normalize one to three quarters and once it normalizes, all of a sudden, the market is going to seem very, very bullish, a trillion dollars of refinance is still a ton of business. It just depends on how much labor is chasing after that trillion dollars. So we're going through that adjustment period now. As I stated before, the pressure is good. It's good for market positioning, it's good for us to continue to focus on scale and efficiency and leveraging our technology as well as our very valuable brand. So the fact that agencies increasing their loan limits, no doubt it is going to help. But ultimately, the labor in the industry has to be right size to match the current application demand.
John Davis: Okay, and that's helpful. So quick follow-up on GOS, I think obviously, I think it's really hard to say how long it's going to take to normalize, the bigger picture is there anything that you see out there that may mean that the GOS is going to be structurally lower going forward to where it has historically been or is this more of just a tiny thing, we don't know how long until it would normalize, but we believe it will normalize, we always see structurally that there may be changes GOS on deferred?
Anthony Hsieh: Yes, so again, GOS is more of a herd mentality. But there's two fundamental things driving GOS, John, one is the overcapacity in the industry. And everyone is chasing loan volumes to keep their workforce intact, keeping their company busy. So that pressure we have seen for the last four or five interest recycles spanning over the last 30 years. But in this cycle, we also have some leaders in the industry that wants to add additional pressure by lowering price. So that is a strategic move and that certainly is welcome because that puts additional pressure on the industry and washes out the weaker operational companies that are out there. So this is a cleansing of the capacity side. The capacity was built up starting in 2008 until now, and now the capacity will start to shrink and it has to because we just came off of a terrific year in 2020. But the volumes in 2021 and 2022 are still likely to be in the top five to 10 in all time mortgage lending history. So it's still going to be very, very healthy. It's not a matter of how much volume is in the next one to three years. It's a matter of how much capacity is in the industry.
John Davis: All right, quite helpful. Thanks, guys.
Anthony Hsieh: Sure.
Operator: [Operator Instructions] Your next question comes from the line of James Faucette, Morgan Stanley. Your line is open.
James Faucette: Hey, thank you very much. And thanks for all your comments and colors on the industry, what you see et cetera. I'm wondering if back to your point around market share gains, but also the things that you've been doing to take on more servicing. How should we think about like, how much servicing you to ultimately like to do directly and how are you thinking about that as a path to future share gains and kind of retaining that customer base through their life cycles? Thanks.
Anthony Hsieh: So let me -- it's Anthony, James. Let me answer it strategically. And then perhaps Pat or Jeff can come in and add some narrative and color. We're just now transitioning, servicing from third-party to our own internal servicing. That decision was not made because we didn't want to control servicing in-house, we've always wanted that but as a de novo startup that started in January 2010, the prioritization of building technology and building assets of this organization plus, in the first five years, we lacked the scale and the ability to hold these assets on balance sheet as we invested into origination. And we've grown this organization 40 plus percent on the average year-over-year for the first 11 years. It wasn't a lack of strategy of moving it internally with our servicing platform. But it's more of prioritization. And the way that we look at holding servicing on a go forward basis, the advantages of holding servicing for a model such as ours is the recapture rates. So you're really holding on to the assets until you get the second bite of the apple as our recapture rate is hovering around 60% to 70%, which is industry's best. So we're able to get a second refinance out of that customer, and we'll have incurred a zero marketing cost. So that is a very, very attractive proposition for our company with a consumer direct or direct lending platform. And far as the yield on holding the asset, I'll let Jeff or Pat chime into that, but I wanted to at least lay out the reasons of holding servicing strategically.
Patrick Flanagan: James, it's Pat. Let me give a little bit of context. So as Anthony said, we want to be a single provider for homeowners for all of the products and needs that we can. And so we intend to keep as much of the servicing especially where we believe we have good customer dynamics to be able to serve that customer in the future, subject to the constraints of our balance sheet. So a couple of things, so the amount of servicing we can keep is very correlated to what the overall gain on sale margins are, and what the cash flow dynamics look like and the Governor for us ends up being leveraged on the balance sheet. So you'll see us continue to operate, keeping as much servicing asset as we can within and keeping the leverage at appropriate levels for our company.
James Faucette: And I appreciate that. And Anthony, I think the strategic benefits are pretty clearly, I'm wondering, as you kind of go through the decision making process of which ones you retain, et cetera and how we should expect that to grow over time. Can you give a little bit of color, what you're doing today, and what you would like to do in the future in that regard?
Anthony Hsieh: Jeff, would you mind taking this one from James?
Jeff Walsh: Sure, James, we're always looking at consumer behavior. So it goes hand in hand with what's done by John Lee and his team on the analytics side. And so as you know, trends develop in our borrower base, and the consumer data set, we'll continue to tweak, how we look at certain borrowers that are available to be sold or retained and make that decision going forward again, in the context of keeping within the limits of the balance sheet. So, it's an ongoing process, just optimization.
James Faucette: That's great. Thank you very much.
Anthony Hsieh: You're welcome.
Jeff Walsh: You're welcome.
Operator: And your last question comes from the line of Derek Hewett with Bank of America. Your line is open.
Derek Hewett: Good morning, everyone. Maybe Anthony or Patrick, are you starting to see signs that some of these smaller subscale originators are willing to partner with stronger corporates that have the capacity to excuse me that are due to the overcapacity issues that were kind of raised earlier and then also, what are your thoughts on stock buybacks?
Anthony Hsieh: I'll take, this is Anthony. Derek, I'll take the first question. And then I'll have Pat chime in on the stock buyback question. Yes, as pressure continues to mount, you're going to see lots more opportunities. The challenge here is, do we want to take 10 small bites or you want to go after one big bite. So integration onboarding is a significant challenge in the mortgage industry. So we have to look at onboarding and acquisitions very, very carefully. And we've done and just to remind everybody, we've done two larger acquisitions in our history and have successfully integrated both of those organizations onto our platform in the middle of tech stack. So we're constantly evaluating, we're looking for quality companies that have a culture match, and as this pressure continues to mount, the targets will get cheaper. So we're very, very patient. And keep in mind that this business at scale has a tremendous barrier to entry, tremendous barrier to entry, to have loanDepot at our current scale and muscle and positioning with healthy liquidity and the most diversified originator in contemporary times, we're patient, the market is $12 trillion. And we're just going to continue to look for opportunities to remain very, very, very patient. I'll let Pat or Jeff or others chime in on the stock buyback question.
Patrick Flanagan: Sure, thanks, Anthony. So our number one focus here is growing, creating shareholder value. And we have a lot of tools at our disposal to do that. And the primary use of excess capital in our minds right now in the most place where we'll grow the best shareholder value is continue to invest in the origination and servicing franchises. But we do have other options to return shareholder value that we've used in the past, we have been paying regular dividend, and time to time, we've paid special dividends, we would consider stock repurchases, the one of the things that we believe is potentially constraining our stock price is, the limited amount of float in the market. And so it's a less attractive alternative for us to return shareholder value at this time because it would compound that that problem for us on a go forward basis.
Derek Hewett: Thank you.
Patrick Flanagan: You're welcome.
Operator: There are no further questions at this time. Anthony Hsieh, I'll turn the call back over to you.
Anthony Hsieh: Well, thank you all again for joining us and for your questions. We look forward to continuing to build our relationship with each and all of you over the long-term. Thank you again and have a great rest of the day.
Operator: This concludes today's conference call. You may now disconnect.